Operator: Hello, and welcome to the Impinj First Quarter 2024 Financial Results Conference Call and Webcast. [Operator Instructions]After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Mr. Andy Cobb, Vice President, Strategic Finance. Please go ahead. 
Andy Cobb: Thank you, Anja. Good afternoon, and thank you all for joining us to discuss Impinj's First Quarter 2024 results. On today's call, Chris Diorio, Impinja's Co-Founder and CEO, will provide a brief overview of our market opportunity and performance. Cary Baker, Impinj's CFO, will follow with a detailed review of our first quarter 2024 financial results and second quarter outlook. We will then open the call for questions. Jeff Dossett, Impinj's CRO will join us for the Q&A. You can find management's prepared remarks plus trended financial data on the company's Investor Relations website. We will make statements in this call about financial performance and future expectations that are based on our outlook as of today. Any such statements are forward-looking under the Private Securities Litigation Reform Act of 1995, whereas we believe we have a reasonable basis for making these forward-looking statements, our actual results could differ materially because any such statements are subject to risks and uncertainties. We describe these risks and uncertainties in the annual and quarterly reports we file with the SEC. We do not undertake and expressly disclaim any obligation to update or alter our forward-looking statements, except as required by law. On today's call, all financial metrics, except for revenue or where we explicitly state otherwise or non-GAAP, balance sheet and cash flow metrics or GAAP. Please refer to our earnings release for a reconciliation of non-GAAP financial metrics to the most comparable GAAP metrics. Before turning to our results and outlook, note that we will participate in Baird's Global Consumer Technology and Services Conference on June 4 in New York. We look forward to connecting with many of you there. I will now turn the call over to Chris. 
Chris Diorio: Thank you, Andy, and thank you all for joining the call. 2024 started strong. momentum we saw exiting 2023 continued through the first quarter, with revenue and profitability exceeding both our fourth quarter results and first quarter guidance. Our strategic focus on silicon and enterprise solutions helped create that momentum, while paving the way for multiyear growth tailwinds, while our recent reorganization and legal settlements pave the way for growing profitability. Turning first to silicon. The green shoots beside of the last 2 quarters continued sprouting. First quarter endpoint IC revenue exceeded our expectations, driven by improving demand in both retail apparel and general merchandise as well as the long tail of other applications. Looking forward, we expect second quarter to again deliver solid info product revenue growth. We also expect a hinge M800 volumes to double in the second quarter as our production ramp picks up, albeit still a small portion of our endpoint IC volumes overall. For RRP, we expect evenly shipments to accelerate in the second quarter as we near the end of our prior generation product shipments, buoyed by a healthy number of design wins and burgeoning opportunities. Turning to solutions. The visionary European retailers ongoing rollout of our self-checkout and loss prevention solution is performing nicely, and we expect we're allowed to add additional brands at that customer to drive modest gateway demand through at least the end of 2024. For tagging ramp, which replaces existing hard pads with embedded tax that use our protected mode for consumer privacy is also on track, driving growing endpoint IC boxes. General merchandise, a large North American retailers ran tag usage has accelerated, driven by additional products being tagged and new product ordering. We anticipate sustaining growth in general merchandise tagging for the remainder of the year. Finally, in supply chain and logistics, we expect the second large North American supply chain and logistics end user to increase their label consumption in 2024. Taken together, our enterprise solutions efforts are and continue paying clear dividends in endpoint IC volumes. I'd like to now touch on 2 solutions growth opportunities: the digital product passport and Food. On DPP, I recently spent a week in EU, speaking with partners and end users on how we together advance RAIN as the technology of choice were textile DPP. RAIN has the apparel penetration, the DPP also requires consumer engagement. ICDPT making the strongest case to date for putting RAIN reading into the hands of consumers and large enterprises are making that need now. On food, demand is growing at a faster pace than I had expected, with several service food chains talking openly about using RAIN for inventory, shelf life and freshness. The overall food opportunity is so large that any adoption could drive meaningful endpoint IC volumes. On the intellectual property front, in March, we successfully settled our patent dispute with NXP, including a multiyear litigation during which intend to prevail in multiple jury trials. As Cary will detail shortly, NXP agreed to pay Impinj an upfront amount and a yearly licensee in exchange for a broad patent cross license. Settlement increases our cash reserves and competitiveness, freeze management bandwidth and removed uncertainty from the industry overall. While we are happy to put this dispute behind us as the RAIN Pioneer and the innovator, we remain vigilant and committed to safeguarding our patented inventions as well as identifying additional licensing opportunities. In closing, we delivered a very strong first quarter in heavier respect, financial, organizational and market leadership. We see continued strength looking into the second quarter. Looking further out, we see growing opportunities to drive recurring licensing and services revenue, monetizing our IP platform and cloud services. We continue driving our bold vision to connect every item in our everyday world confidence in our market position and perched by the opportunities ahead. Before I turn the call over to Cary for our financial review and second quarter outlook, I'd like to again thank every member of the pine team for your constant effort driving our bold vision. As always, I feel honored by my incredible good fortune to work with you. Cary? 
Cary Baker: Thank you, Chris, and good afternoon, everyone. On today's call, I will review our first quarter financial results and second quarter financial outlook. First quarter revenue was $76.8 million, up 9% sequentially compared with $70.7 million in fourth quarter 2023 and down 11% year-over-year from $86 million in first quarter 2023. First quarter endpoint '19 revenue was $61.5 million, up 14% sequentially compared with $53.9 million in fourth quarter 2023 and down 8% year-over-year from $67 million in the first quarter 2023. We First quarter endpoint IC revenue exceeded our expectations, led by retail. Looking forward, we expect second quarter endpoint IC product revenue to increase sequentially, again, led by retail. First quarter systems revenue was $15.3 million, down 9% sequentially compared with $16.8 million in fourth quarter 2023 and down 19% year-over-year from $18.8 million in the first quarter 2023. First quarter systems revenue was below our expectations, primarily due to lower channel reader sales. Looking ahead, we expect a sequential decrease in second quarter systems revenue with increasing channel reader sales more than offset by declining project-based gateway sales. First quarter gross margin was 51.5% compared with 50.9% in fourth quarter 2023 and 52.4% in first quarter 2023. The -- the sequential increase was driven by mix within endpoint ICs. The year-over-year decrease was driven primarily by lower revenue on fixed costs, partially offset by higher systems product margins. Looking to the second quarter, we expect gross margin to increase. Total first quarter operating expense was $32.9 million compared with $33 million in fourth quarter 2023 and $36.4 million in first quarter 2023. Operating expense was lower than we anticipated due to strong spend management across all major functions as well as lower litigation costs. Research and development expense was $16.5 million. Sales and marketing expense was $7.7 million. General and administrative expense was $8.7 million, including litigation expense of $1.3 million. We expect a slight sequential decrease in second quarter operating expense as litigation expense declined to immaterial levels more than offsetting investments in our base spend. First quarter adjusted EBITDA was $6.7 million compared with $3 million in fourth quarter 2023 and $8.6 million in the first quarter of 2023. First quarter adjusted EBITDA margin was 8.7%. First quarter GAAP net income was $33.3 million. First quarter non-GAAP net income was $6.2 million or $0.21 per share on a fully diluted basis. Turning to the balance sheet, we ended the first quarter with cash, cash equivalents and investments of $174.1 million compared with $113.2 million in fourth quarter 2023 and $164.7 million in first quarter 2023. Inventory totaled $87.8 million, down $9.4 million from the prior quarter. First quarter net cash provided by operating activities was $60.1 million. Property and equipment purchases totaled $6.2 million. Excluding the $45 million income from the litigation settlement, free cash flow was $8.9 million. Before turning to our guidance, I want to highlight a few items on to our results and outlook. First, NXP paid us a onetime $45 million litigation settlement payment in the first quarter. we recorded that $45 million in our first quarter GAAP financial statements and other income in our income statement and as cash on our balance sheet. Next, NXT will pay us an annual license fee each April for up to 10 years unless they design out our IRP and exercise an early termination rate. Earlier this month, we received a first $15 million, covering the period from April 1, 2024 to March 31, 2025. We will recognize the full value of that payment as second quarter endpoint IC revenue, which is reflected in our second quarter guidance at nearly 100% gross margin. Going forward, the payments will increase annually by a modest fixed rate for as long as the agreement is in effect. As a reminder, for calculating our quarterly diluted earnings per share when quarterly non-GAAP net income exceeds $12 million, you should add the 2.6 million shares underlying our convertible debt into our diluted weighted average shares and we should remove the corresponding $1.2 million of interest expense from our net income. Final, first half of 2024 marks a turning point in our operating margin profile. We added high-margin licensing revenue and reduced operating expense by removing litigation spend and reorganizing our reader and gateway channel business. As you can see, in our second quarter guidance, those actions drive substantial earnings per share accretion, and they will also drive significant free cash flow. Furthermore, these margin improvements accrue before the M800 drives additional leverage. Turning to our outlook. We expect second quarter revenue between $96 million and $99 million compared with $76.8 million in first quarter of 2024, a 27% quarter-over-quarter increase at the midpoint, including the licensing payment and a 7% quarter-over-quarter increase at the midpoint, excluding it. We expect adjusted EBITDA between $23.9 million and $25.4 million. On the bottom line, we expect non-GAAP net income between $21.7 million and $23.2 million, reflecting non-GAAP fully diluted earnings per share between $0.72 and $0.77. In closing, I want to thank the Impinj team, our customers, our suppliers and you, our investors, for your ongoing support. I will now turn the call to the operator to open the question-and-answer session. MJ? 
Operator: Thank you very much.  We will now begin the question-and-answer session. [Operator Instructions]. At this time, we will pause momentarily to assemble our roster. Today's first question comes from Harsh Kumar with Piper Sandler. 
Harsh Kumar: First of all, huge congratulations, the settlement of the litigation and then also just the turn in the business. Chris, what are big different 6 months can make. There's a lot of interesting stuff in your comments. I wanted to start with general merchandise. I wanted to start with the large North American retailer that you highlighted in your comments. I wanted to ask you how this is going. You obviously talked about some pickup there. Maybe you could just provide us some additional color. And then what is the implication of this implementation succeeding? Is there -- is this like a big thing that the entire retail industry is waiting for? Does just have huge implications for adoption for the rest of the retail? And then I've got a follow-up. 
Chris Diorio: Appreciate it. I'm going to let Jeff lead in here because he very close to customer side obviously. And so Jeff 
Jeffrey Dossett: Yes. Thank you for your question, Harsh. Our tagging ecosystem partners who serve this large North American retailers tagging needs have signaled steady gains in the tagging of additional general merchandise categories as well as a modest uptick in overall consumer demand. Some of the general merchandise categories are progressing more quickly than others, but we are optimistic that the progress will continue in the year ahead. 
Chris Diorio: And first, I'll add that historically, that end user has significantly led our industry and others have followed their moves. Of course, there was a setback during the years from 2013 basically to 2019 associated with the [Indiscernible] that's well behind us now. And so, although we don't have a firm data to date, it's my expectation that this customer being a bellwether for many other large customers and for our industry overall has proven historically and other side everything they do going forward, what entree the benchmark for other companies to call out 
Harsh Kumar: Very well. Chris, for my follow-up, guys. I wanted to ask about logistics. Again, the second customer that is ramping, do you think you're in a position to be able to say that this customer will grow with you every quarter steadily for the rest of the year? And when do you think you might reach the point where you are sort of, call it, 100% penetrated at this customer and tagging? 
Chris Diorio: So I'm going to start here, and I'm going to let Jeff jump in a one quarter a time. And with any of these large elements, there are always teething issues as we go on. We work with the customer and our furnace work customer gets through those teething issues. So there's always a little bit of and balance along the way. So it's difficult for me to say that at any given quarter, things are going to be consistently up. What we do see is strength of that customer commitment, a real commitment to go forward and to digitize the entirety of their operations and a commitment to not only a all items, they transportive but also to substantively change how they run their business. And so, we see multiple opportunities with this customer. And then hopefully, with them, again, it's a [indiscernible] the overall supply chain of logistics industry and others will follow. 
Operator: The next question comes from Jim Rashidi with Needham & Company. 
James Ricchiuti: Just maybe on that second logistics customer, as you know, I'm sure they discussed moving into the Stage 2 implementation where presumably, it sounds like they're going to be putting readers, RFID readers in the hands of their drivers. And I assume that's going to help your reader IC business. But Chris, maybe as we think about their deployment is moving now into their vehicles. What is the significance of this? Or is this all part of their grand plan that you guys were always kind of aware of? 
Chris Diorio: I'll let let Jeff take the lead here, and then I'll circle back on the impact of Silicon. 
Jeffrey Dossett: I think, first, Jim, I want to reiterate that we prefer to have our existing perspective and customers speak to their own programs and deployments. But what I will say is that I think we have platform opportunities with this particular customer going forward and, importantly, multiple silicon touch points in those opportunities. 
James Ricchiuti: Got it. And a follow-up question. Chris, I want to go back to your comment about the food applications and moving faster than you expected. How should we think about this? When could this potentially be a perhaps a more meaningful incremental driver for the endpoint IC business. I mean it's -- I'm sure does. Yes, everything else does this, but you seem pretty excited about what you're seeing. 
Chris Diorio: So if you look back in time, what I said is that food opportunity is so large that it's hard to see it moving really quickly. And -- but we're -- what I'm actually seeing what I'm feeling is that it's moving a little bit faster than I had expected. And when you see one of the fast change coming openly about inventory shelf life and freshness, and we see other opportunities out there in the market on the food front. We start paring into opportunities. Overall, for me, it's a little bit of a surprise. It's just got a clipacetoand I wasn't expecting that. Now part of the reason is cube that with retail adopting range so successfully that technology is really the case is proven and it kind of paves the way. But I still thought things are going to take a little longer. So I'm rather excited by the food opportunities and where they are right now. And as we learn more going forward, we'll bring other opportunities and insights to your attention. 
James Ricchiuti: Congrats on the quarter. Thank you. 
Chris Diorio: Thank you. 
James Ricchiuti: And the settlement. 
Operator: The next question comes from Mike Walkley with Canaccord Genuity. 
T. Michael Walkley: Great. Congrats on everything too. I guess, Chris, just on the strong intellectual property and your comments about protecting it. What has been kind of the feedback from the outside the industry post your settlement with NXP? And are there additional opportunities to license your technology? 
Chris Diorio: I'm going to start with the latter part of the question first, Mike, and there are additional opportunities out there for licensing overall. So there's opportunities on our IP front on cloud services, funding for our platform overall -- we've got -- we just got a lot of strength and capabilities in the things that we're doing. For while we see opportunities to integrate with our partners and make more partners out of the market to drive additional licensing opportunities to generate recurring revenue. So on that front, we feel good, which is why I cited it in the prepared remarks, although obviously, we didn't give any further details because we can't really cite anything until we have any further details. And licensing is core to our strategy going forward. In terms of the industry reaction to settling with NXP the industry was, for the most part, relieved. There was a lot of uncertainty hanging over the fact that there was litigation ongoing between the 2 largest NYC suppliers. And the fact that, that overhang to the industry is removed, I'm guardedly think that it will help the industry continue to move forward. And it takes away any concerns right concerns about potential impediment going forward. I'll talk about, of course, we carry cited the details of the sale, and we feel the utmost for us and good for the industry overall. 
T. Michael Walkley: Great. Helpful. And for my follow-up, Cary, just on gross margins, obviously, next quarter will be a high gross margin quarter with the licensing payment. But as we kind of back that out and think about gross margin trends for the rest of the business with 800 ramping and potentially a stronger mix of systems later in the year? How should we just think about gross margin trends for the business? 
Cary Baker: Yes. Excellent question. I think as you go and looking at the second quarter, we expect gross margins to increase with a strong benefit from the license revenue. If you remove that, we're modeling gross margins at the product level will be about flat quarter-over-quarter. And then currently, we're running below our targeted 53% to 54% range for the first -- for a few reasons. First, we remain a little tough scale but are closing that gap quickly. And then second, as has been the case historically, the systems business recovery typically lags the endpoint ICs recovery. This has caused our endpoint IC revenue to grow as a percent of our total revenue is in IC carries a gross margin at slightly lower than our corporate average. And then finally, our lower-margin 200-millimeter volume running SKUs are slightly higher as a percent of revenue in 2Q and will likely be so again in Q3. That product line is 2 generations old at this point, and we're moving it before the M800 ramps. We'll know more about that pace of the M800 ramp in the next quarter or so, but the second quarter volumes remained small from a mix perspective. And we're really not having visible impact to our gross margin. So overall, we remain confident in the gross margin targets that we outlined at our Investor Day. 
Operator: The next question comes from Christopher Rolland with Susquehanna. 
Christopher Rolland: Thanks for the question. The digital product passport, I think you talked to it regarding textiles as well. Can you tell us a little bit more about that, the applications, maybe the economics associated with it? And how big do you think it can ultimately be? 
Chris Diorio: So Chris, the application really is the U.S. passed a set of past regulations that basically require transability of textile items. Our credit grade deployed manufacturing, all the way through shipments, sale, consumer use and recycling. Those regulations really begin kicking into 2027. And we'll web-cycle for stability and the thing is he wants to give the consumers ability to in items of Providence the consumers make an informed choice around item sustainability and an informed choice of the products and the buying and doing so provides the data about the to the consumers. And then like I said, recycling and end of life. So the key here for us is that I believe DPP will drive significant opportunities for consumer engagement. Now right or bed is not issuing for DPP because there are other data carriers. What we, our partners and our enterprise end users want is to make the tax that are already on of retail paralitems and more and more embedded in the ISV data carrier for DPP.  In order to get there, we need consumers to be able to read those items, which is the end goes forcing readers in the mobile phones. And I personally think that in reading and mobile phones opens a whole world of opportunities and actually the new and transformative use case for the mobile phone suppliers. So I am hopeful, but I can't go beyond hopeful. I'm hopeful that this increased pressure or increased incidence. We're putting grain breeding and mobile phones. Maybe we'll put us over the edge over the top in terms of getting the readers in homes, which would open, I hope low opportunities beyond DPP. So that really is our focus. The tech is already going on items. We need to get consumers being able to read them and when they can, it opens up a whole new set of opportunities, plus point of sale. 
Christopher Rolland: That's very interesting. Just a quick follow-up there. Would you be selling ICs into the mobile market for that? Or could they use some sort of existing function there? And then just a housekeeping on the licensing. Is there a volume component to royalties for future payments? And how dependent on volumes are those payments? 
Chris Diorio: So the -- taking the latter question first, the payment of fixed amount is we're seeing that by a modest amount each year. So -- and that's what we said with regards to Lexicon. Going to the former, it's too early to say whether there's an opportunity for us in silicon in the mobile phones or not, but putting that aside for a minute. If you think of our platform that has the endpoint ICs, [indiscernible], we're pushing more into some of the services around it. We already have enterprise-level engagements. We see a large opportunity for our platform, whether or not it's actually our silicon and on. Of course, we'll try to get our silicon in the phone. But even if we don't, we're going to be pushing forward with opportunities to leverage our platform even our platform brings. And we want to be there side-by-side with the retailers and the phone providers and the manufacturers to be part of the overall solution. 
Operator: The next question comes from Scott Searle with Ross MKM. 
Scott Searle: Nice to see the continued recovery in the core business and the outlook of those key customers. Maybe quickly on that front. On the retail apparel front, it sounds like that drove the upside for endpoint ICs in the first quarter and driving the outlook of the upside into the second quarter as well. Chris, is the retail apparel market now normalized as we get into the second quarter? Are we still recovering and working through some in-laninventory in there or are these new design wins and ramp up in unit volumes, et cetera? 
Chris Diorio: I'm going to start by saying thank you. And then I'm going to hand off to Jeff because I think Jen can provide some commentary there, Jeff. 
Jeffrey Dossett: Well, we are seeing some restocking taking place in both apparel, footwear and general merchandise to better match to an uptick in consumer demand whether or not that trend continues, it's too early to call and probably not for us to call that. But overall, the partners who engage with those retailers signal some strength into the second quarter and optimism, cautious optimism for the second half but are awaiting more confirmation of the sustainability of that uptick in demand. 
Chris Diorio: And I'll layer a little bit more on here. So we see multiple drivers in the [indiscernible]. We see embedded tagging, which replaces parts with soft labels and our activity to software zone. So we see some tailwinds from that embedded tagging. Obviously, general merchants, we're already talk about that going forward. And so, we've seen Carling merchandise, as Jeff just highlighted the recent revised -- and then our efforts around solutions, driving solutions in the market and our strength in those solutions accounts of those for those factors are we believe are wins that are driving our [indiscernible]. 
Scott Searle: Got you. And if I could follow up on the DPP front, Chris, it's a huge opportunity there. I'm wondering if you could walk us through what the process and some of the milestones that will look like over the next couple of years? You're talking a lot about retail apparel on the trace ability to engage consumers on that front. But I thought we were going to see tires and batteries kind of starting for some of those recyclable items more so than we think about textiles. Has that changed in terms of the implementation of different product categories? Or is it just because the retail apparel is just such a large unit opportunity and drives incremental feature sets from Impinj? 
Chris Diorio: Yes. So from my understanding of where DPP is today and not only the regulations kind of being hired out with no patients being hired out batteries are going first from my understanding, but also from my understanding the strength out the carrier for those batteries is QRCs. Textile is the next one to come along with a much bigger category. And the data carrier is not decided yet. So it could be multiple things -- it could be an RD or cost could be RFID code a bunch of different things, and it's not decided in fact there's committees working on and figuring out what the data carriers are. RAIN RFID is a big benefit that visibility in disability is great. It's already on their peril items. That's great. It's being bedded into the ex that's great. But we're not in mobile funds. So that's why I highlighted the opportunity in the mobile phones and that there are now large enterprises in Europe that are pushing and letting their needs be known that we need rain readers and mobile phones. And so, whether that push will be enough is to be determined, but it's the first time we've really had a real push from the leaders in the market from the enterprises in the market saying we need this capability. And so, I think that your first indicator will be over the next, call it, 1 to 2 years, whether right is classified as a data carrier for DPP, and we hope to make it soon. 
Operator: The next question is a follow-up with Harsh Kumar from Piper Sandler. 
Harsh Kumar: So a lot of us are probably struggling with this as we modeled. So I thought I would just ask this ultimately, what should be the expected OpEx level going forward? In other words, I know you were spending $4 million, $4.5 million in legal. Is that a fair number for us to take out? And then I'll just ask the second one that's on my mind, too. Do you want us to model the next year's payment in some manner as it will come to in the second quarter of 2025. Or do you think it's just appropriate to see what that number is and that it could change dramatically. I just love to love some thoughts on this. 
Cary Baker: Yes. Harsh, this is Cary. So from an OpEx perspective, our Q2 OpEx and what we've embedded in our Q2 guide is pretty clean. There is immaterial litigation spend and the business is normalizing following the reorganization that occurred in Q1. As I look to the second half, I would assume modest growth. We're going to continue investing in this business and in front of this opportunity, but you've got a pretty good picture of our OpEx right now. 
Harsh Kumar: Okay. And then what about the expected payment next year? 
Cary Baker: Good question. That one is it's early -- there is an ability for NXP to design out, but that is not something that's easily done. So I don't expect a huge increase in that payment, but I think it is fair to model that at this point, and we'll keep you up to date on where that might go. 
Operator: The next question is a follow-up from Jim Ricchiuti with Needham & Company. 
James Ricchiuti: With the litigation uncertainty behind you and the growing cash position, what I'm wondering is you guys have periodically looked at M&A as a means of accelerating parts of the business, growth in parts of the business. So the Viant acquisition sounds like it was a nice acquisition for you, small, but I think provide some benefits. I'm wondering if we might see a pickup at all or if you're looking at opportunities that might accelerate the growth in some of the newer markets? 
Chris Diorio: Yes, Jim. I'll do my best to answer that question. Obviously, I can't speak to any particular opportunities or anything that might be coming our way. [Indiscernible] was an opportunity for us because what they offered was well aligned with our platform. Essentially, they're at the front end of the -- in the manufacturing, we're in like testing, quality assurance and some data services around the inlays, which of course, seeds our ICs and leverage our RGs for the inlet. So it was a natural addition to our platform that I think will stand us in good stead going forward. We are always open to other areas that strengthen and augment our platform. And if something which to come along, we'd be interested. And we keep our eyes open all the time. I don't think the additional cash is going to going to say, oh, we're actually -- it's going to make a huge difference either way. It's really identifying an opportunity that makes sense for us to come the additional cash is nice because it's easier cost finance it. But the key thing is we see an opportunity. It's good for us, and we'll pursue it. And absent that, we won't. 
James Ricchiuti: Okay. Great. And one final question, if I may. Just Cary, I think you alluded to the M800 volumes still being relatively small. But is there any way -- I think you touched on this at the Investor Day, but has your thinking around the impact on gross margins as that scales, -- has that changed at all? And maybe you could just remind us of the impact you as it becomes a bigger part of the overall volume. 
Cary Baker: Thanks, Jim. So the M800 benefits from a lower cost basis. And that lower cost basis will translate into approximately 300 basis points of gross margin accretion as the M800 ramps and becomes a volume runner in our business. Now an endpoint, I see ramp when we typically launch a new IC takes multiple years to achieve, call it, volume running status. We're certainly pleased with where we are. And as Chris alluded to in his prepared remarks, where the M800 is ramping into Q2, but the volumes are still small, and the impact on gross margin is not visible at this point. We're in the early days of the ramp, it's really too hard to project a precise timing of that ramp. But we're encouraged with where we are, and we'll keep you up-to-date as we progress in that ramp and throughout this year. 
Operator: [Operator Instructions]. Seeing no further questions, this concludes our question-and-answer session. I would like to turn the conference back over to Co-founder and CEO, Chris Diorio for any closing remarks. 
Chris Diorio: Thank you, Anja. Thank you very much. And I'd like to thank all of the are on the call today for joining us. Thank you for your ongoing support. Bye-bye. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.